Operator: Good morning, ladies and gentlemen and welcome to the Bombardier Fourth Quarter and Full Year Ended December 31, 2024. Please be advised that this call is being recorded. At this time, I'd like to turn the discussion over to Mr. Francis Richer de La Fleche, Vice President, FP&A and Investor Relations for Bombardier. Please go ahead, sir.
Francis Richer de La Fleche: Good morning, everyone and welcome to Bombardier's earnings call for the fourth quarter and full year ended December 31, 2024. I wish to remind you that during the course of this call, we may make projections or other forward-looking statements regarding future events or the financial performance of the corporation. There are risks that actual events or results may differ materially from these statements. For additional information on forward-looking statements and underlying assumptions, please refer to the MD&A. I'm making this cautionary statement on behalf of each speaker on this call. With me today is our President and Chief Executive Officer, Éric Martel; and our Executive Vice President and Chief Financial Officer, Bart Demosky, to review our operations and financial results for the fourth quarter and full year ended December 31, 2024. I would now like to turn over the discussion to Eric.
Éric Martel: [Foreign Language] Good morning, everyone and thank you for joining us today. Every time we gather in this forum to reflect on a full year, my first thought is with the team behind the numbers. To all of you listening to the call from Canada, the U.S., Mexico and further abroad, thank you for what you have accomplished in 2024. Before we deep dive on our solid 2024 results, we must take the time to address the uncertainty created by the threat of tariffs. I am very disappointed that we can't guide 2025 today. In the past four years, Bombardier has created such a strong track record of meeting but also exceeding commitment. The team and I were well prepared to confirm our 2025 objectives today. But in light of the current tariff threat, not providing guidance is the most responsible and transparent things for us to do. As I said, we have built a business on meeting our commitment and we need to exercise caution until we see how this all unfolds. There is a lot at stake for our industry. The General Aviation Manufacturer Association, GAMA, who represents OEM and suppliers alike was clear in their message and I would like to quote it directly. Given the global nature of the aviation manufacturing industry, these proposed tariffs as well as potential reciprocating tariffs could have an enormous impact with many unintended consequences on the industry. To put a Bombardier lens on this, we have more than 2,800 U.S.-based supplier across 47 states and are creating tens of thousands of jobs in the United States. The vast majority of our platforms are made up of more U.S. parts and systems than any other country. As an example, we have concentrated our Bombardier defense work in Wichita, Kansas. We are also building major components and structure in the U.S., the most notable being the wing of the Global 7500 in Kansas. We also own 5 service centers in 5 different states. Over the years, Bombardier has created a reciprocal trade balance with the U.S. that can be demonstrated where both we and the U.S. have an equal win. Everyone at the table must focus on policies and measures that protect the economic value of the integrated aerospace industry. This industry has been built through decades of collaboration. Any pivot will not happen overnight and I am convinced it would not benefit anyone in the long run. So as we enter 2025 with caution, let me be very clear. Caution doesn't mean at all hitting the brakes. We continue to see favorable market conditions across business aviation. Flight hours on Bombardier products are extremely high. Pre-owned inventories remain in a very healthy low range. Most importantly, demand for new aircraft is solid. Orders continue to come in from around the world and we have observed more activity versus the same period last year. This includes a fair share from the U.S. Also worth noting, we have not seen cancellations. Our teams are very engaged with customers. In parallel, we have developed solid contingency plans for multiple scenarios should we face immediate complication for U.S. deliveries. All scenarios we studied are allowing time not to be forced to act rapidly. If we do end up facing this, I am comforted by the fact that we are not the same company that we were in 2020 or even in 2021 and could navigate through any kind of challenges. We have a solidly growing services business that is continuing to recruit talent in places like Texas, Kansas, Arizona, Florida, Washington, D.C., California and Connecticut. Our defense business is following the path as well. Our backlog is well-diversified with a solid proportion of large aircraft set for delivery in international markets. I also need to mention our reinforced credit and more solid balance sheet. All this said the U.S. does remain our core customer and shareholder base. Our focus is on finding solution with a long-term view should tariff disrupt our ability to perform to the level of our ambition in the short-term. But until such a scenario presents itself, we will continue to cautiously press forward this year based on the fundamentals we have built. On that note, let me provide some comments on our exceptional achievement in 2024. For a fourth year in a row, we grew our company in line with our plan. We have also reached our ambitions of $2 billion in service revenue, a full year ahead of schedule. To put that in perspective, we doubled a high-margin $1 billion business in less than 5 years and we did it organically. We did it through careful network expansion and by offering services and support our customers through lead value. It's not just impressive in the aerospace industry it's a big accomplishment, period. I am very proud of the services team. This was a worldwide effort that balanced rapid growth with enhancing customer satisfaction. We succeeded on both fronts and customers voted us number one in service satisfaction in the most recent annual survey published by Aviation International News. In 2021, we also set out to achieve a leverage ratio of 3 by 2025. We are already ahead of that today at 2.9x and we have momentum to improve further. Adding to this, both Moody's and S&P Global Ratings upgraded our company credit rating again in 2024. All of this is a testament to our performance as well as to Bart and his team's expert handling of maturities and repayments. Overall, it has been a very successful approach. We demonstrated by being opportunistic and hyperfocus delivers tremendous results. It has also provided us with a much more stable footing when faced with uncertainty. Bart will, of course, cover more on that topic when he deep dives on the financial results in just a moment. There are many key wins behind our solid financial performance. They extend well beyond our debt management and historic services growth. Our product, for example, continue to lead the market. It seems like not a month went by last year without the Global 7500 setting a speed record. As we reach 200 planes in service, we also announced surpassing 75 city-pair speed records. What is even more impressive is that we are not flying empty planes around to chase marketing headlines. A lot of these records were set by our demonstration team with customers on board as part of routine missions. On top of that, operators joined in and contributed to record-setting legs as part of their day-to-day missions. The Global 8000 is poised to carry the torch into the future. It is selling well into the farthest reaches of our backlog and Skyline. We are on track for the first unit to enter service by the end of this year upon receiving all certifications. Our phase cut-in approach reduces risk and sees some Global 7500 delivered in early 2026, so we can carefully manage our customer commitment and ask. In parallel, we are finalizing the upgrade package for Global 7500 customer which will allow them to access the Global 8000's remarkable top speed of Mach 0.94 and cabin pressure altitude of 2,900 feet at an operating altitude of 41,000 feet. Our Challenger aircraft also continue to lead categories. The Challenger 3500 set a record as the fastest platform to reach 100 deliveries in its class. The Challenger 650 has also performed very well. It has been known for a long time as a reliable and spacious performer. I want to highlight two campaigns from 2024. First, we celebrated its down selection with the Finnish Border Guard, adding another nation to Bombardier's defense growing map of operators. It's important to note that the Challenger 650 continue to prove itself as an effective and surveillance aircraft in many countries. Its capabilities are certainly applicable to the current border surveillance requirement in North America. It was also chosen closer to home in Quebec, the province and is proudly manufactured in. The government will use the aircraft to expand the capabilities of its vital air ambulance service. The Bombardier defense team in Wichita also celebrated two important milestones that reflects our ability to tailor products to mission needs, giving customer rightsized and highly flexible solutions. To start, we celebrated the first flight of the Pegasus program for the German Air Force. A few months later, we delivered the first aircraft to the U.S. Army as part of the '80s program. These programs are based on our Global 6000 and 6500 platform which will strategically fly high above regular air traffic. Our businesses, our products and our people are all performing at a high level. If the last two or three years I have felt like Bombardier had turned a corner, then I can describe 2024 as the year Bombardier fully turned the page. We positively resolved key litigation that has helped us look forward. In some cases, these outcomes helped set momentum in our plan to deploy capital throughout our existing product and services line-up with a mindset of high return on investment as we outlined in our Investor Day. Our team is hard at work focusing on continuous improvement our customers will feel and appreciate. Another key investment behind us is our Greater Toronto area facility in Ontario which is clearly illustrated in our CapEx figure. Last year, we cut our CapEx by more than half versus 2023, reaching $173 million. The site quickly lived up to its purpose as the most advanced production facility in the industry. To quote a popular turn of phrase, it's leaner but it's also greener. It was a pleasure for me to take part in the inauguration day and welcome the investment community as well as our 2,000 employees and their families. It was also our first major event since turning the page to start a new chapter of Bombardier's history with a refreshed brand. If there was ever a year to create a new logo that embodies facing forward, this was the year. Our new brand represents the culmination of a successful journey we began in 2021. During the last four years, we faced and overcame a lot of obstacles. We have come a long way by focusing on what we control. This approach will help us through continuing supply chain challenges and macroeconomic uncertainty. Our 2024 results illustrate that we are a fundamentally different company that can perform in many ways. The top line is no longer so closely tied to swings in traditional deliveries. We have grown our Service and Defense businesses to bring a very strategic diversity to our company. That said we did grow deliveries year-over-year to now reach a volume where we are stable and comfortable. The theme of maintaining stability has also translated to our orders, thanks to the hard work of our sales team has done all around the world. Through our order activity, we have kept our backlog healthy, delivering a book-to-bill of around 1 or higher. This includes the solid book-to-bill performance of 1 in 2024 and a backlog increase of $200 million versus 2023. We have also focused on high-margin growth with a historic step change over the last four years. In 2024, we finished with a 15.7% adjusted EBITDA margin. The amazing work we have done to clean up our balance sheet is also paying off. Supply chain will remain a very sharp focus as it continues to introduce pressure across our operations. It certainly was true in the fourth quarter last year. Our teams have done a lot to mitigate risk and be successful involved upstream. That said, supply chain will still be -- will still be a pacing factor for our delivery profile as we manage inventory build. The supply chain challenges are not worse than last year. So we will continue to be very aggressive in identifying and fixing these challenges. Overall, we are no strangers to executing our plan successfully in complex environments. We have done it in the past four years better than others. Our historic turnaround is complete and the company is structurally where we need to be for the mid- and the long-term. With that, I'd like to pass the floor to Bart to speak to 2024 results in detail and also provide more color on how we're thinking about 2025. Bart, over to you.
Bart Demosky: Thank you, Eric and good morning, everyone. 2024 was another banner year for Bombardier as we once again made significant improvements to our financial performance and our resilience. Now resilience is a term we have often used over the past four years and this is not by accident. Our management team has known all along that being able to adapt and react to opportunities as well as challenges or sudden changes is key to the long-term success of our business. This is why it has been a priority for us to build a company that is resilient and that can perform in the face of both opportunity and uncertainty and we believe we have done just that. This is evident when looking at our debt metrics, where our focus on debt reduction since 2020 has brought our gross debt down by 48% and our net leverage to 2.9x. We've also diversified our top line by adding nearly $1.5 billion in annual services, defense and pre-owned revenues over the same period. The services business, in particular, has more than doubled in four years and it provides a recurring and steady stream of income and cash flows which adds more predictability and certainty to our financial performance. The executive orders announced on February 1 by the United States, however, have added uncertainty to our business which makes it difficult for us to provide you with guidance today. Our management team has taken great pride over the past four years in providing you with annual guidance that has continuously raised the bar on performance and which we have met or exceeded with almost no exception. We plan to raise the bar again this year. But unfortunately, at this time, we lack the clarity to tell our investors exactly what will be happening. But make no mistake our company is moving forward with both confidence and purpose. We've built a business which is highly profitable and structurally capable of delivering significant, repeatable and growing earnings and free cash flows. The key to our success has been in focusing on the things that we control and the things that we control have been delivering results which are well ahead of our original plan. Now I'll speak a bit more in a moment about this year, 2025, after going over our '24 results which were obviously very solid. In '24, we saw year-over-year growth in deliveries, revenues and in profitability. Our balance sheet has also improved with gross debt, net debt and net leverage all reducing, while overall available liquidity increased. I am particularly proud of our ability to bring our net leverage down to below 3x, finishing the year at 2.9x. When our management team spoke to investors for the first time in 2021, our objective was to bring net leverage down to approximately 3x by the end of '25 and we've achieved this one year early. This focus on debt reduction is also reflected in our credit rating, where we moved up another notch in '24 as a result of increases from both S&P and Moody's. Deleveraging will remain the number one use of excess liquidity in 2025. On the back of this progress, I am also very proud to share that we've seen a material shift in our investor base with many new institutional investors becoming shareholders. Our IR program has been very active. We've literally held thousands of investor meetings since 2021 and more than 400 in the past year alone, many in the U.S., where the majority of our shareholders are located. We will continue to be very active on this front and I'm very fond of the relationships our team and I have built with so many of our investors in the past years. Now with that said, let's turn to our financial performance in more detail, starting with revenues. For the year, we are pleased to report a solid top line performance. Our total revenue came in at $8.7 billion, ahead of our guidance range of $8.4 billion to $8.6 billion. This represents a year-over-year increase of 8%. Our aircraft manufacturing and other revenues saw a $331 million year-over-year increase, largely driven by 8 additional deliveries, higher defense revenues and stronger pricing across-the-board. Our services business has delivered another double-digit growth here, surpassing the $2 billion revenue mark and setting a new record of $2.04 billion. This represents an impressive 16% increase compared to last year, reflecting the effectiveness of our expansion strategy and the strengthening of our market position with our share now reaching around 50%. We also continue to have strong visibility in our top line going forward. In '24, our backlog increased to $14.4 billion on the back of a 1x book-to-bill, reflecting a strong demand for our products and services. The backlog for defense is also increasing as we won several campaigns in 2024 which gives us visibility into the continued growth of this business. Shifting to profitability, adjusted EBITDA totaled $1.36 billion, also beating the higher end of our guidance range and representing an 11% year-over-year increase. Our adjusted EBITDA margin was 15.7% which is an increase of 40 basis points compared to the previous year. In the fourth quarter, our adjusted EBITDA margin reached 16.5%, a 150 basis point improvement versus the same quarter in '23 and making it the highest margin quarter that Bombardier has delivered since we launched our turnaround plan in 2021. Year-over-year, the significant increase in adjusted EBITDA is largely attributed to strong conversion of incremental revenues, most notably in our services business. We've executed this while supply chain pressures and cost headwinds have increased which has cost us a few missed deliveries and associated EBITDA in '24 and created more than 50 basis points drag on EBITDA margins for the year. Turning to our other profitability metrics; our adjusted EBIT for the year also surpassed our guidance and finished at $915 million, up 15% from the $799 million reported last year. Our adjusted net income was $547 million, a remarkable 31% increase from the previous year, highlighting the benefit of our tax attributes as our profits continue to grow. Our adjusted earnings per share is also up by an impressive 31% or $1.22 and stands at $5.16 at year-end. I believe these impressive improvements in year-over-year profitability simply speak for themselves. Moving on to cash; our free cash flow for the fourth quarter was $814 million which translates into a full year free cash generation of $232 million, in line with the midpoint of our guidance range. We delivered 57 aircraft in Q4 which resulted in a $559 million release in inventory. For the full year 2024, inventory increased by $261 million. Supplier advances increased by $385 million in Q4 and $362 million for the full year as we received additional supplier contributions which will be applied towards future product development in a manner consistent with what we shared at our last Investor Day. In the fourth quarter, we also saw a reduction in customer advances of $584 million and a full year reduction of $353 million which is attributable to a couple of factors. First, we had a normal Q4 unwinding of customer advances as we delivered a higher number of aircraft than new orders added to the backlog. Second, throughout 2024, we took a conservative approach to selling Global 8000 positions, keeping a buffer between the expected entry into service date of the aircraft and the first customer deliveries. This was done purposefully to avoid issues we've seen across our industry around being late to customer commitments. The financial impact of this is that we received fewer progress payments than would have been typical on those aircraft since the aircraft delivery dates are further out. That said we've made excellent progress on the development of the Global 8000 over the past year. And as we speak today, we are confident we will meet our entry into service date of Q4 2025 which means that the production cut-in will happen in early '26 and we will not need the buffer we had initially planned which creates a potential upside for us. If we take a step back and look at working capital as a whole, our approach has been to match inventory and customer deposit levels. For the last few years, we've had higher advances than inventories as we've been ramping up our production. As of 2024, we are right at the levels we want to be with our customer advances totaling $3.9 billion against inventories of $4 billion. On the balance sheet, we've continued to prioritize strengthening our financial position and deleveraging. We've successfully reduced our debt -- total debt by approximately $400 million over the past 12 months, including a $300 million repayment closed this January, while also refinancing and extending maturities at lower coupon rates. In addition, we've been proactive in managing and derisking our pension plan liabilities, having purchased approximately $635 million in annuities in 2024 for certain pension plans, bringing the total risk transfer to more than $1 billion since 2020. Looking ahead at the weeks and months to come, we are going to continue focusing on the things that we control. To that end, we will be focused on capturing opportunities that may materialize for what we see as a very strong market fundamentals for business jets. While we expect continued challenges from our supply chain, debt repayment will remain our number one priority. While tariff uncertainty is expected this year, our focus will remain on executing our long-term strategies to diversify our top line by growing our services revenues at a mid- to high single-digit CAGR and growing defense revenues 3x to 5x. So to conclude, 2024 has been a year of significant achievements. We have built a strong foundation for Bombardier and we are ready to face any challenge that comes our way. We will continue to be transparent on any developments we see regarding the geopolitical landscape and we are committed to continue creating significant long-term value for all of our stakeholders. So with that, let me turn it back over to Francis and we can begin the Q&A. Francis?
Francis Richer de La Fleche: Thanks, Bart. I'd like to remind you that the Bombardier Investor Relations team is available following the call in the coming days to answer any questions that you may have. For the question period, please limit yourself to one question and one follow-up. With that, we will open it up for questions. Operator?
Operator: [Operator Instructions] Your first question will come from James McGarragle at RBC Capital Markets.
James McGarragle: I just wanted to ask, you made a comment in the prepared remarks saying you're well-positioned to meet your 2025 guidance before the announcement regarding the potential tariffs. So your decision not to provide an outlook, is that given something you're seeing specifically in the market right now? And as an example, are you seeing customers switch away or is that you just being totally prudent given the backdrop right now with regards to tariff?
Éric Martel: James thanks for the question. That's the right question to ask actually. Actually, we are still geared up to meet the 2025 objective we've met -- we shared before. But this being said, we have to be responsible and not provide guidance this morning in a sense that it's not related to the market and what we are observing. I said that earlier that actually, the level of activity in Q1 at this time is actually even higher than a year ago, including in the U.S. So it's really related to the executive order that was signed by the President last week. You realize that we cannot ignore that. There was a time where tariffs could have kicked in already. Now it's been postponed. So of course, this could affect the landscape moving forward in the year. We are still evaluating this and the way we're reading this is it's a lower risk but it's still a risk and something that I do not control, Bart do not control, the team here does not control. So we're going to face that. As I said earlier, I think we're well equipped as an organization probably to go through that kind of situation than we've ever been because of the strength of our balance sheet, because of the diversity of our portfolio right now with services being a bigger share. International is also having quite a bit of weight. So don't get me wrong, the U.S. market is still very important for us but probably has less significance than a few years ago. So all this to say that we are still planning and the way we're working it out right now in terms of number of deliveries and in terms of our of our objective to deliver what we said before. But at the same time, there's an obstacle, a potential obstacle that could be there that we're going to have to understand better when it's happening, if ever it's happening. So I think this is where we are and we are running full steam here right now to deliver what we said before as we did for the last four years. But there's one thing I don't control. So we'll see how the situation evolves but we are ready to face that also. And we've developed multiple scenarios in the last couple of months, working very diligently at being ready if ever this is happening.
James McGarragle: I appreciate the color and just a quick follow-up. You mentioned you're planning for various scenarios. So in the event of a worst-case scenario, just say that's a 25% tariff, can you speak to what your contingency plan is then, how quickly you can execute on that? And would that be potentially expanding the finishing facility in Kansas or any color you can provide there? And after that, I'll turn the line over.
Éric Martel: Yes. No, great question again. I think you know our team enough to know that we are prepared to face it. We diligently work on multiple scenarios. We didn't know until last week when '25 was kind of the number to work with because there is two things right now that will impact the significance of our action. First is the level of tariff and the second thing is the duration. But in all the scenario we've had, of course, in those situations, your cash is king and that's the one thing we focus on and making sure that we were going to have scenarios that make this company capable of going through any scenario. And I can tell you -- I can reassure you that any possible scenario, we're in a good place to do that. Of course, the good news, too, is the scenario we've developed. It's not like when it's an application, we have to act the next day because the big question will remain, how long is it going to last, if ever. It's implemented. And in those situations -- in any of those situations, we need to act the next day. We still have time and we'll monitor and we'll see. At some point, we may have to face a decision to adjust rate or things like that. But the reality is that it's not going to be like a crisis overnight. We're going to have time to monitor, see how the situation evolves and maybe never have to do it. So that's what we're all hoping for, of course and keep the path of growth that we've been showing in the last four years and just continue to deliver our plan.
Operator: Next question will be from Kevin Chiang at CIBC.
Kevin Chiang: Bart, you mentioned the positive contribution of free cash flow from the supplier -- increase in supplier contributions in the fourth quarter. I'm just wondering if you could maybe comment on what, if any, impact the Honeywell agreement might have had on supplier contributions, if you're able to piece that out for us. And should we think about that potential tailwind if it was one in Q4, how that might be a tailwind in 2025 for free cash flow?
Bart Demosky: Yes. Good morning Kevin and thanks for the question. Just to step back a moment, we had a long-standing disagreement with Honeywell that we managed to settle in a very positive and constructive way in 2024, both for the short-term and for the long-term for our company which is important to note. If you look at the numbers in our financials, you'll see higher supplier advances. I did mention those in my prepared comments. Now those were offset by lower customer advances which I also mentioned, due to our Global 8000 entry into service risk management strategy. And those two amounts were roughly even. So if you look at the overall performance of the company and our free cash flow coming in at $232 million, that's really driven by the performance of the business. So that's, in my view, a good number. As we look forward, we now have customer or supplier advances available to us to help us invest in program developments, particularly we've talked about derivative aircraft and making investments to continuously improve our aircraft, keep them as competitive as it can be and just stay ahead of the market. And that's where we'll be directing those efforts. So this will help us finance that and which we believe will keep high demand for our aircraft and our ability to not only sustain but potentially grow margins over time. So we think there's multiple benefits that will come out of it Kevin.
Kevin Chiang: That's helpful color. Maybe if I could just follow on, on James' line of questioning around -- obviously, I understand it's unpredictable now with the tariff situation. But I guess when you think of -- you're planning to kind of achieve your 2025 guidance and I can see why you pulled it because of all this uncertainty. But if I think about where you see the biggest risk, is it primarily a working capital uncertainty because these tariffs make it difficult to plan for inventory management, maybe it impacts the cadence of orders. And so it's a cost of goods sold and potentially a free cash flow issue as you think of it through the working capital lens or do you actually see risk to deliveries and the cadence of those? You have a multiyear backlog but do you see potentially customers shifting that due to the risk of tariffs?
Bart Demosky: Well, Kevin, you've covered the full gamut of.
Kevin Chiang: Maybe it's all of the above. Maybe it's all of the above.
Bart Demosky: I think that really, the challenge is we don't know. We take obviously giving our guidance very seriously. We've been very careful over the past four years to make sure that we provide guidance that is not only believable but achievable and in most cases, something that we can exceed so that we're performing at a high level for everyone who's invested in our company. This is simply a complex and rapidly evolving situation. I mean if you just look at what happened between Saturday last weekend and Monday of this week, I think the direction changed 4x. So it's probably a bit early today to say exactly what the outcomes would be. But as Eric mentioned, we have looked through all of the things you just described. We have a plan to deal with every single one of them if those are outcomes that actually occur. And we're very comfortable that we will have a path forward that will keep us on track over the short-term. And I think reasonably, it's reasonable to think that tariffs are not something that will be around over the long-term.
Operator: Next question will be from Seth Seifman at JPMorgan.
Seth Seifman: I guess just to follow-up a little bit on that question. Is there -- at what point -- given that we could have uncertainty remaining here for a while, at what point do you need to kind of -- if we were to think about the deliveries that were expected for next year, the revenue that was expected for next year, do you need to kind of communicate with the supply chain about that in order to have that opportunity?
Éric Martel: I think Seth this is a great question and let me give you a bit of color. So I think right now, as I said, things in Q1 are working normally despite all this situation -- we are in a good place and we have a good level of activity, actually even slightly better than a year ago at the same time. As I said earlier, if this is becoming reality and again, we still believe here as a management team that common sense will prevail and because this is going to hurt as much on this side of the border than the other side of the border if ever it takes place. So we do believe that at some point, common sense will prevail, that this is going to go away and things will be back to normal. That's what we believe. But this may change. So -- but what I need to say is that if it's becoming a reality, we have time to react, okay? We've put priority on making sure we're going to preserve as much liquidity for this company as possible. So that's been our guiding our guiding start -- our North Star in developing these scenarios. But we're not going to be forced to make a decision like overnight because as I said earlier, there's a question of the level of tariff that influence our reaction but also the duration. So I don't want to be put into a situation where I react and two days later, it goes away. We saw over the weekend, how fast this could go away and come back or whatever. So I think it's time to be calm. But eventually, of course, if it's a 25%, if it's a long duration, at some point, yes, we're going to have to take action. But as Bart just said, we are extremely prepared in the detail if ever this is necessary to pull the trigger on these scenarios. But again, we still believe and hopefully, we won't have to do that.
Seth Seifman: Great. And then a separate question beyond tariffs. Just thinking about services growth longer term, once you've kind of built out the infrastructure, we see kind of in the report, the kind of flattish profile for flight hours. There's probably price. But is there room to have consistent increases in scope? I guess how do you think about -- in an environment where it seems like flight hours across the industry are pretty flattish. How do you think about long-term services growth?
Éric Martel: Yes. We are in an amazing position, Bombardier, especially. When you look at the flight hours, our flight hours on our product, Global Challenger are growing. As you know, we're focused on those business. So first of all, our fleet is growing. So we have more airplanes to take care of and this is going to grow between now and 2030. And we're going to have also more activity in a sense that the market is growing in a sense that there's going to be -- we're going to start to do maintenance on Global 7500 which we have barely start today and other portfolios. So the maturity of our thing is important. So -- and we have -- the fleet operator are a significant piece, as you know, for us. And as you know, I said they're the big winner. If you look at the fleet operator, when I look at the hours that the fleet operator were flying in '19 they've increased between '19 and '24 by 57%. This is a very significant number of hours. And as you know, we own a lot of it. And these guys are not flying a couple of hundred hours a year. They're flying 1,000 hours per airplane on average. So this is all going to translate into maintenance eventually. So that path of growth has been significant. I know there was a lot of skeptical people a few years ago when we said we're going to go from $1 billion to $2 billion. But guess what, we've done it in a year faster than expected. But actually, right now, when I look in front of us, we see very significant growth still to get to 2030. So by what I -- because of what I said earlier but also us gaining and gaining more and more market share of that growing market.
Operator: Next question will be from Konark Gupta at Scotiabank.
Konark Gupta: Congrats on great results here in light of what you're seeing clearly today. My question, obviously, like I want to build on this tariff situation [ph] what you think about tariffs and all that. But the uncertainty is paramount, right? And I think nobody knows the answer, as you said, right? But Eric, you are close to customers, right, some of the kind of key customers, I guess, you talk to them, you meet them, you go to events and all that. What are they thinking? How are they communicating to you? What do they plan to do? I see especially the U.S. guys, I think they -- I don't know, probably account for half of your backlog or something but how are the conversations with those guys? Because at the end of the day, that matters.
Éric Martel: The reality and I'll be very transparent, you know that our customers are usually very sophisticated people, very knowledgeable about market and economy. And they see this as a very low risk of happening. So when I talk to them, the vast majority, if not all of them, are saying, if ever it happened, it's not going to last very long. And I'm of the same opinion, as I said. But at the end of the day, we are in an unpredictable world, I don't know. And this is why this morning we decided not to provide guidance. But I think the -- if you do risk assessment and I've been talking to a lot of customers in the last two months since this came up. And we've been in Washington all over this meeting hundreds of people with myself and with our team to make sure that people understand that, first of all, we have a significant amount of work in the United States. I said earlier, 2,800 supplier, we're creating tens of thousands of jobs in the U.S. So again, everybody believes, including our customer, that common sense will prevail and that this is not going to be enforced. But this is still there as a threat right now and we need to manage accordingly.
Konark Gupta: Right, that makes sense. If I can follow-up with a question on pre-owned market. I think you alluded to that, that it seems like pre-owned market still is pretty supportive of new jet orders [ph]. The inventory levels as a percentage of the market is obviously rebounding. And it's -- I don't know if that's something of a risk to see down the road, maybe not today perhaps but any thoughts on like how is the pre-owned market looking for the products you are making right now?
Éric Martel: Yes. The level, especially on the Bombardier product, if you look at the overall, it went up a bit. But on the Bombardier product, it's been very low. Actually, it went down in some cases. So we are well-positioned. I think Challenger went down in the last month or something like that in the last quarter and the Global is fairly stable. So there's not that many airplane up for sale right now. And when they are in the market, they turn fairly fast. I don't see any reason right now that the hours of flying are there. The market momentum, as I said, despite the threat, the tariff threat, the activity is remaining pretty solid in all around the world. And I think it's because of our customer assessing that this is a threat that has a good chance to disappear. So I don't see like a spark in the pre-owned inventory right now. And because our assessment of the threat, I think we're going to be still in a very optimal market in 2025.
Operator: Next question will be from Benoit Poirier at Desjardins Capital Markets.
Benoit Poirier: Just on the working cap, I appreciate the color on Honeywell and the impact on the Global 8000. Would it be possible to get more granularity around the impact of contract liabilities? It looks like it's been a drag of around USD 350 million this year. And also wondering about whether the missed deliveries versus consensus could also be a contributor to the free cash flow miss. And I'm curious to see what kind of assumption in terms of working cap we should be looking for in 2025 in light of the supply chain environment.
Bart Demosky: Good morning Benoit, great questions. Thank you. The $350-or-so-million that you referred to, you saw in the financials, what that actually is, is a reduction in customer advances in 2024 I described a little bit earlier where that primarily came from. But -- and it's from a risk management strategy that we deployed throughout the year, where we took a conservative approach to selling our Global 8000 to keep a buffer on availability just in case we encountered any of the other similar challenges some of our peers have had as they've been bringing aircraft or derivatives into entry into service and so that's really where that came from. So we had -- and that reduction in customer advances was approximately the same as the dollar value of the higher supplier advances that we received that we talked about earlier with the Honeywell question. So when you think of it in those two -- with those two dollar amounts, they really offset. So those are a wash [ph]. What that means is that our underlying business performed as we had planned and expected and our operating cash flows adjusting for those two amounts came in at $232 million which is right at the midpoint of our guidance. So we did not underperform on free cash flow. When it comes to working capital, Francis has worked very closely with us on all the planning. We've had a plan for a number of years now to reach a place where our inventories and advances are approximately the same. In 2024 at our Investor Day, we highlighted that we plan to have fairly steady deliveries in the coming years, around 150 aircraft or so. And so long as we're able to manage to that, our inventories and working -- sorry, inventories and advances should roughly offset and be equal which means a limited amount of working capital variability over time.
Benoit Poirier: That's great color, Bart. And just in terms of follow-up, we -- yesterday, there was the order with FlexJet. Just wondering if it was kind of a missed opportunity and whether you're -- there's still a potential for them in the large cabin segment as it was highlighted during the IPO.
Éric Martel: Yes. I think, Benoit, it's a great question. But we do continue -- FlexJet is a very significant and important customer for us. We do continue this year to deliver them airplane. We still have order in the backlog -- they're still very satisfied with our product. And yes, there's conversation that will continue with FlexJet. So we don't see that as a FlexJet moving forward or moving away from Bombardier. So I think they want to diversify their fleet, it's fair. And we're engaged with the other fleet operator also into conversations. So we're still the OEM that delivers most airplanes in that category of airplane for the fleet operator and our products are performing extremely well. So no reason here to think that we're not going to carry on our relationship with either FlexJet, NetJet or Vista or all the others.
Operator: Next question will be from Fadi Chamoun at BMO Capital Markets.
Fadi Chamoun: I just wanted to ask a clarification question on the comment you made about the kind of continuation of strong order activity in the first quarter. I'm guessing you're effectively saying orders continue to be tracking as normal so far which is a little bit surprising given the uncertainty. So can you give us kind of a color like are customers with exposure to tariffs kind of making decisions maybe are comfortable with that risk or are the orders coming from non-tariff exposed jurisdiction? I'm just trying to understand that comment about the level of order activities.
Éric Martel: Yes. It's a fair question, Fadi and a good question. Of course, we're having those conversations. We cannot ignore this. But I think on both sides, it's a common understanding of the risk is probably the one thing that makes us being able to carry on. So of course, we're having those conversations with our customers. But I think the risk assessment, as I said earlier, is in everybody's mind, fairly low and that's why we're able to keep going with our sales.
Bart Demosky: Yes, go ahead. Sorry.
Éric Martel: Go ahead, Bart.
Bart Demosky: The only thing I was going to add to Eric's answer was that when you think about the value of our backlog that it goes out 18 to 24 months which is our target. And what that means is when we're having discussions today with customers about new aircraft orders, those are really back half of '26, even into '27. And so that's a long time between now and then. And when you think about the risk of tariffs being in place, I think our customers who, as Eric described, are quite sophisticated, see that as a low probability. So that helps with our conversations with them.
Éric Martel: This is a very, very important point that Bart is making. And if you read between the line here also is the -- what we're selling today are mostly airplane that will be delivered post midterms.
Bart Demosky: Yes, the U.S. election difference.
Fadi Chamoun: Okay. And just to be clear, Bombardier is not doing anything to share in that risk in terms of how you contract with these customers?
Éric Martel: We -- I got to be careful here, Fadi. I don't comment on the exact contract and contract content. I won't be able to answer that.
Fadi Chamoun: Okay. Just one follow-up, last follow-up on the deal with Honeywell with the development for re-engine or modernized aircraft, is there a timing agreed upon of when Bombardier would undertake such a development? Is it like within the next two years, three years or?
Éric Martel: Yes, that's a great question. Of course, the agreement is confidential again but there's nothing today that's been officially launched and we got time to work with our partners here at Honeywell in a sense that we'll take the necessary time and we are being very careful about performance and still monitoring what's happening on the market about continuously improving our product. But we're glad that we're going to be teaming up with Honeywell and offer our customer improved product in the future.
Operator: Next question will be from Tim James at TD Cowen.
Tim James: My first question, Bart, could you talk about CapEx plans for 2025? And I mean I realize most of your '25 guidance that you have removed at this point for understandable reasons. But I'm wondering if CapEx, if that's something you can provide a little bit of color on what your thoughts are on what expenditures will be in 2025.
Bart Demosky: Yes. So CapEx, obviously, was down considerably in 2024. That was by design. That was our plan. We still have a lot of investment going on in the Pearson facility in '23 which came out of the system. So in the absence of CapEx directed towards programs or I'll call it, other organic growth opportunities that we know we have, particularly in the services business, the run rate is probably higher than the $173 million you saw in 2024. Because we're not providing guidance, I won't give you exact numbers. What I would point back to, though, to add some color is what we said at our '24 Investor Day that a typical year for us, we're going to be in that $250 million to $300 million range.
Tim James: Next question and forgive me if you commented on this because I know it comes up regularly on calls but looking at sort of the current situation as you think about '25 and supply chain issues and inflation and the various costs that you're having to deal with, I think it was mentioned it was a 50 basis point headwind in '24. In 2025, as you look at it currently, putting aside anything to do with tariffs, do you still kind of think pricing on deliveries net of inflation, supply chain challenges is still kind of a net zero impact next year or this year?
Bart Demosky: Yes. I think over the long-term, that's certainly our planning basis, Tim, for sure. The one thing I would point out, though, is that this headwind that we're facing right now everybody is working hard. We've been working extremely hard on it and our supply chain partners are working extremely hard on it. Eric mentioned earlier that we don't see any net deterioration this year. In fact, it's probably going to be fairly stable relative to last year which means at some point, once we get through these final hurdles, we probably got a 50 basis point upside to our margins that we can work away on. And that's what we're going to be focused on here in '25 and '26. But in '25, a reasonable assumption, assuming no other changes in the environment is that we'll continue to have to bear the brunt of that 50 basis point headwind.
Operator: Ladies and gentlemen, this is all the time allotted for questions today. And I would like to turn the conference back to Mr. Martel.
Éric Martel: Yes. Thanks to all of you for joining us today. We really appreciate it here, the team. 2025 -- '24, sorry, was another strong growth year for Bombardier. And again, we broke records with our planes as well as our -- on our balance sheet. Our people are very engaged and ready to face the challenges 2025 will bring. We are starting a new chapter for Bombardier with passion and pride and have set a strong foundation for Bombardier's future. Thank you again for following our story and I look forward to speaking with you all throughout the year.
Operator: Thank you. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines.